Operator: Good morning ladies and gentlemen. My name is Amy. I will be your conference call operator today. At this time, I would like to welcome everyone to the Bryn Mawr Bank Corporation’s Quarterly Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker remarks, there will be a question-and-answer period. (Operator Instructions) Please note this conference is being recorded. Thank you. It is now my pleasure to turn the floor over to your host Duncan Smith, Chief Financial Officer. Sir, you may begin your conference.
James Duncan Smith:
. : The archives of this call will be available at Bryn Mawr Bank Corp.’s website or by calling 877-344-7529 and the replay passcode 10030504. A replay will be available approximately two hours after this call concludes. Before we begin, please be advised that during the course of this conference call management may make forward-looking statements which are not historical facts. Forward-looking statements can be identified by the fact that they do not relate strictly to historical or current facts. They often include but are not limited to words, may, will, would, could, should, likely, possibly, probably, potentially, predict, contemplate, continue, believe, expect, anticipate, outlook, project, forecast or optimistic or looking, intend, plan, target, estimate or words or phrases of similar meaning. Forward-looking statements by their nature are subject to risks and uncertainties. A number of factors, many of which are beyond the corporation’s control could cause actual conditions, events or results to differ significantly from those described in the forward-looking statements. All forward-looking statements discussed during this call are based on management’s current beliefs and assumptions and speak only as of the date and time they are made. Corporation does not undertake to update forward-looking statements. For a more complete discussion of the assumptions, risks and uncertainties related to our business you are encouraged to review our filings with the SEC located on our website. Thanks. Now I would like to turn the call over to Ted.
Frederick C. Peters II: Thanks Duncan and thank you everyone for joining us today. Yesterday after the market closed we issued our second quarter 2013 earnings press release. Once again we are pleased with our continued strong quarterly results, we are optimistic about continuing this positive trend. We reported net income of $6.3 million and diluted earnings per share of $0.46 for the second quarter of 2013, year to net income of $5.3 million and diluted earnings per share of $0.40 for the same period last year. Net income for the second quarter of 2013 represented a 17% or $907,000 increased from the same period of 2012; should be noted that net income for the second quarter of 2013 pre-tax due diligence and merger related expenses of $688,000 as compared to $914,000 for the same period of 2012. Increases in net interest income and wealth management revenue are significant factors contributing to our solid performance in the second quarter. While our acquisitions have delivered positive incremental revenues they have also brought incremental increases in our expenses. Primarily in salaries and benefits expense, occupancy costs and other operating expenses. These expense increases were largely reflected in the 2012 acquisitions of Davidson Trust Company and the First Bank of Delaware. Non-interest expense for the three months ended June 30, 2013 increased $2.4 million to $20.5 million as compared to $18.1 million for the same period in 2012. As I noted previously our 2012 acquisitions along with the opening of our new Bala Cynwyd branch were largely responsible for the $1.8 million increase in salary and benefit and occupancy expenses between the periods. An increase of $889,000 other operating expenses is primarily the result of our investments and improvements in our IT infrastructure. Net interest income for the second quarter of 2013 was $17.9 million an increase of $2 million or 12.7% compared to the second quarter of 2012. Factors contributing to this improvement included a $134 million increase in average portfolio loans, approximately half of which we acquired from the First Bank of Delaware; the prepayment of $22.5 million of subordinated debt in the third and fourth quarters of last year and the prepayment of $20 million of long-term Federal Home Loan Bank borrowings during the first quarter of 2013. In addition, the average rate paid on deposits declined by 16 basis points between the periods; the tax equivalent net interest margin of 3.98% for the second quarter of 2013 increased 14 basis points from the 3.84% tax equivalent net interest margin for the same period in 2012. The increase was primarily the result of a $141 million increase in average earnings assets partially offset by an increase of $62 million in average interest barring liabilities between the periods. While the tax equivalent yield earned on average interest earning assets declined by 12 basis points between the periods, the tax equivalent rate paid on interest barring liabilities dropped 34 basis points. The attention given to managing our funding costs has benefited us tremendously throughout this for long low rate environment. For the second quarter of 2013, revenue from Wealth Management Services was $9.1 million, a $1.9 million increase or 26.1% from the $7.2 million for the same period in 2012. The Wealth division’s assets under management, administration, supervision and brokerage increased to $6.9 billion as of June 30, 2013, an increase of $579 billion or 9.2% from June 30, 2012. Market appreciation, organic growth and new business development contribute to the successful results for the quarter. Non-performing loans and leases as of June 30, 2013 were $10.4 million or 0.73% of total portfolio loans and leases as compared to $14.8 million or 106 basis points of portfolio loans and leases as of December 31, 2012. For the three months ended June 30, 2013, a cooperation recorded net loan and lease charge-offs of $1 million EBIT, as compared to $903,000 for the same period in 2012. The provision for loan and lease losses for each of the three months periods ended June 30, 2013 and June 30, 2012 was $1 million. The allowance for loan and lease losses as of June 30, 2013 was $14.4 million or 1.01% of portfolio loans and $14.4 million or 1.03% of portfolio loans and leases as of December 31, 2012. The capital ratios for the bank and corporation indicate levels well above the regulatory minimum to be considered well capitalized. In particular, the tangible equity ratio for the Corporation has improved from its December 31, 2012 levels of 7.6% to 8.21% as of June 30, 2013. These increases were primarily the result of increases in retained earnings and issuance of common stock along with the slight decline in total assets between the dates. Deposits of $1.55 billion as of June 30, 2013 decreased $85 million from December 31, 2012. The 5.2% decrease was primarily comprised of decreases of $57 million and $15 million in time deposits and wholesale deposits respectively between the dates. The Corporation has continued its play and run off of its higher rates certificates of deposit. Total assets as of June 31, 2013 were $2.01 billion relatively unchanged from the $2.04 billion as of December 31, 2012. Total portfolio loans and leases of $1.43 billion as of June 30, 2013 increased $32.5 million from December 31, 2012. As increases in the commercial mortgage segment of portfolio were partially offset by declines in residential mortgages and home equity lines and loans. I am please to announce that on July 25, 2013, the Board of Directors of the Corporation declared a quarterly dividend of $0.17 per share. The dividend is payable September 1, 2013 to shareholders record as of August 6, 2013. Acquisitions over the past several years have had a positive impact on our growth of performance. We continue to focus on profitably growing the Corporation and will continue to actively invest in quality growth opportunities. We believe our business model is sound and we expect continued strong performance in 2013. With that, we will open the lines for any questions. Operator, will you please compile the Q&A roster.
Operator: (Operator Instructions) And our first question comes from Jason O’Donnell at Merion Capital Group.
Jason O’Donnell – Merion Capital Group: Good morning and congratulations on a nice quarter.
Frederick C. Peters II: Jason, good morning. Jason, I should also mention for you and everybody else that also with us today are Joe Keefer, our Chief Lending Officer; and Frank Leto, who runs our Wealth business.
Jason O’Donnell – Merion Capital Group: Okay, great. Frank, I guess my first question is for you. I’m wondering just if you could provide a little bit more color around the sharp increase in Wealth Management revenues this quarter. It looks like Wealth assets were actually down a little bit linked quarter; and so I’m wondering the nature of the stronger revenue outcome and whether or not that the revenue level is sustainable heading into the back of the year?
Francis J. Leto: Sure, Jason. A couple of things, I think first of all if you look back at the first quarter, we had a big assets jump. But the revenues didn’t follow in the first quarter and we said then that they would trial into this quarter. And so we’re seeing that benefit from the assets jump in the first quarter. The decline in assets was due primarily to assets that were in custody didn’t really affect our revenue at all. So that’s why you see that small decline. The other big jump in the revenue was seasonal tax fees that we get every second quarter generally of the year and there was a normal jump in that too because of the Davidson acquisition. Going forward, we still have the same revenue from these new assets hopefully and we have a real strong pipeline. So we’ll see how the third quarter plays out or we’re going to hope that it’s a strong one.
Jason O’Donnell – Merion Capital Group: Okay, that makes sense. And then just sticking with non-interest income, I guess the question for you, presumably, Duncan. Can you provide some detail around the roughly $540,000 linked quarter increase in other operating income. I’m wondering what items are underlying that increase and or they recurring in nature.
James Duncan Smith: Okay, let’s where we have that. In other operating income that’s jumped, last quarter it was 825 million and this quarter it’s 369 million. So there are some items in there such as it’s probably about close to 300,000 of loan market income on First Keystone loans that had marks on them and have since paid off during the quarter. We don’t put that in the margin because it would despite the margin and that’s been our accounting consistently since the acquisition. So this 280,000 in there, to say, 300,000 that is periodically happens, but it’s certainly and I think we expect to happen every quarter. And then there is probably about 150,000 I would call, other income from other investments, including that Federal Reserve Bank stock, which has an annual dividend and that comes out in the June quarter. And we just record on a cash basis when it happens. And then we had some other CRA type investments that periodically pay out on schedule basis. So there was some of that in there.
Jason O’Donnell – Merion Capital Group: Great, thanks a lot guys. I’ll step aside.
Frederick C. Peters II: Thanks Jason.
Operator: Our next question comes from Matt Schultheis at Boenning & Scattergood.
Matthew C. Schultheis – Boenning & Scattergood Inc.: Hi, good morning.
Frederick C. Peters II: Hi, Matt good morning.
Matthew C. Schultheis – Boenning & Scattergood Inc.: Just wanted to get your take on your outlook from mortgage banking, I know it’s not a huge operation for you guys. But if you think for the industry slowdown will affect you or if you think because of your relative size that you can scale it to keep the fee income line relatively unchanged?
Frederick C. Peters II: Well, thank you. We’re going to turn it that over to Joe Keefer, our Chief Lending Officer, who, mortgage reports through him.
Joseph G. Keefer: Good morning, Matt. I think you know the mortgage business has been very, very strong for us and most of it feeds off of our terrific franchise. In every quarter, I’m waiting for the number the revenue number to drop below a $1 million and it really hasn’t to this point. However, we are starting to see some reduction in the weekly loans that are coming through for approval. As far as projecting where that’s going to go to, it’s very, very hard to project. So I would sort of give some guidance to look at prior quarters, I’m hopeful that we can keep it in a range of around $750,000 to $1.2 million a quarter, but that’s my best read on it. And it’s going to be or continue to be a good business for us so. Does that answers?
Matthew C. Schultheis – Boenning & Scattergood Inc.: Yes. Thanks for that color and if you guys could sort of discuss obviously from a larger strategic viewpoint. Whether you guys are seeing more companies approaching you to have negotiations to perhaps buy them or sort flow of companies who seem to be putting themselves or testing the waters is the same as it was say six months ago?
Frederick C. Peters II: This is Ted, Matt. We’re really not seeing that much activity. We’re actually surprised I mean in 2012 was suppose to be the year of M&A activity, that never really materialized and everybody thought 2013 would, especially with the low rate environment and the increased regulatory over site would drive some smaller banks. But we are not seeing a whole lot. One thing I can tell you is that we were very active in meeting with other banks who may have interest in some point in joining us, we are active working with all the investment banking groups, I don’t know who are available. Most of the things that we’ve done at is bid limited auctions and we just certainly want to be included in that. So we’re little disappointed, we thought there would be more, but on the other hand we’ve done three – couple of Bank acquisitions but we’ve looked at we’ve probably looked at 17 or 18 situations and we’ve done three wealth acquisitions and probably looked at 14 or 15 situations. So we like to look at a lot of things and try to find the right fit, but to answer your question there seems to be a lot less activity out there that we anticipate.
Matthew C. Schultheis – Boenning & Scattergood Inc.: Okay. Thank you very much.
Frederick C. Peters II: Thanks Matt.
Operator: Our next question comes from David Darst at Guggenheim.
David W. Darst – Guggenheim Securities LLC: Hey good morning.
Frederick C. Peters II: David good morning, how is everything been at Tennessee?
David W. Darst – Guggenheim Securities LLC: Great, doing well. Just following up on the M&A topic the expenses you had this quarter, were those related to something prior or is that part of MidCoast, the M&A expenses?
Frederick C. Peters II: The merger expenses for the quarter, Duncan?
James Duncan Smith: They’re all related to that.
Frederick C. Peters II: They are all related to the MidCoast situation, yeah.
David W. Darst – Guggenheim Securities LLC: Okay.
Frederick C. Peters II: I wasn’t sure whether there was any trailing things from the Davidson or…
James Duncan Smith: There may have been in the March quarter with our conversion in the March, but I don’t think in the second quarter.
Frederick C. Peters II: Okay. So primarily the MidCoast situation.
David W. Darst – Guggenheim Securities LLC: Okay, anything around MidCoast that you can give us an update on, maybe just like more specific timing of the close and expected charges or other considerations for the third quarter?.
Frederick C. Peters II: Not really now, we’re sort of in the – Dave we’re in the middle of the regulatory approval process right now. So we really can’t comment and we’ll let you know certainly if when things change.
David W. Darst – Guggenheim Securities LLC: Okay. And then Duncan just could you comment on your liquidity position and your securities portfolio position managing that down along with the borrowings have really helped the margin. Would you expect any growth in those balances that could impact the margin in the back half this year?
James Duncan Smith: Well the investment portfolio is around the $300 million mark, we’re keeping it short and we don’t expect it, we will keep it at that level or higher, we have very large amount of dollars available through our lines of credit with Federal Home Loan Bank, because of the mortgage assets, so I think that’s about $700 million in capacity and we have been running down CDs at the First Bank of Delaware, because the rates on them are very high, when we acquired them. So we’re getting near, we keep thinking we’re at the bottom of the interest rate, deposit cost reduction but some. So we have to keep an eye on that. But I think liquidity wise, we are strong and I don’t see any significant changes coming in the balance sheet if we are comfortable where we are.
David W. Darst – Guggenheim Securities LLC: Okay. And then on the First Bank acquisition, are you seeing much run-off in that loan portfolio, or you actually managing it down?
Joseph G. Keefer: Dave, it’s Joe Keefer, no actually that’s been a real assist to our loan growth in the current six months and we’ve seen a lot of good activity down in Delaware with our team that we acquired through First Bank at Delaware. And in fact he consistently is one of our top leaders in our monthly pipeline report in new business. So I’m very pleased with the way that’s going.
David W. Darst – Guggenheim Securities LLC: Okay good, okay. Congratulations, thank you.
Joseph G. Keefer: Thank you, Dave.
Operator: The next question comes from Chris McGratty of KBW.
Christopher McGratty – Keefe Bruyette & Woods Inc.: Hey good morning guys.
Joseph G. Keefer: Good morning, Chris.
Christopher McGratty – Keefe Bruyette & Woods Inc.: Duncan let me ask the margin question little bit differently, you’ve got roughly your guide with stable securities book, but your yield on your securities is among the lowest I’ve seen in 122. Can you talk about reinvestment rates given where the yield curve has gone in the last quarter? And then given in the context of all this and loan growth, what should we expect for the near term margin?
James Duncan Smith: Well, with respect to margin on the investment portfolio, we purposely have kept the investment portfolio short therefore we have lower yields than our peer groups. But on the other hand, with the recent rise in rates, you can see our portfolio we had a 1.5% premium market value over book. And that’s come down to about break-even. I imagine lot of other banks have a significantly higher degradation in the market value. So while we were getting lower yields, we were keeping it short, so we should be – we have a nice cash flow. Slowdown a little bit, but probably $40 million to $60 million in cash coming in, we’ll be able to reinvest at these current higher rates. So that should hold and probably slightly run up a little bit over the next few months.
Christopher McGratty – Keefe Bruyette & Woods Inc.: Okay and then as it goes to your full margin with loan growth picking up, are margins sustainable up here, are we going to see some level of pressure?
James Duncan Smith: Well we were certainly surprised with the where it went to. I think, where we – we’ve always said it’s going to start coming down slightly a little bit every quarter and part of the margin jump this quarter was the FHLB restructurings that we did in the first quarter. And there’s a little bit of opportunity left to do, a little bit more of that and also you saw the cash levels went from $120 million, I believe down to about, $117 million down to $60 million. Now we can’t take that really down to zero, but that certainly had a benefit. So I don’t expect – I expect it to come down hopefully not rapidly but it’s going to come down. So I don’t think sustainable at this current high level.
Christopher McGratty – Keefe Bruyette & Woods Inc.: Okay and just one last one on expenses. How should we think about the infrastructure spend that you guys have talked about in the past couple of quarters, whether this is done, whether this is a good kind of organic expense run rate to go with?
James Duncan Smith: It’s not; it is going to continue Chris. Since we’ve grown fairly rapidly over the last number of years, five acquisitions in five years, lot of stress in the organization and our operations in IT area. And we made a decision, the Board and management made a decision to invest pretty heavily in this area. So I think you’ll continue to see the IT expense run rate continue for few quarters at least.
Joseph G. Keefer: And so we don’t expect it to go up, we just.
Christopher McGratty – Keefe Bruyette & Woods Inc.: Right.
Joseph G. Keefer: What we’re spending now is expect to.
James Duncan Smith: Yes same run rate. Same run rate on the IT side.
Joseph G. Keefer: And for example and we will start seeing some benefits from that IT expense, for example, we’re going to go from seven phone systems to one phone system and 25 phone vendors to two, or three sometime in this third quarter beginning of fourth quarter. So there is benefits coming from these things, you just have to they just take for attracted amount of time it gets done.
Christopher McGratty – Keefe Bruyette & Woods Inc.: Yes
Joseph G. Keefer: Yes. And we have the capacity to grow, to grow the place.
Christopher McGratty – Keefe Bruyette & Woods Inc.: Understood, thanks a lot.
Joseph G. Keefer: Thanks Chris.
Operator: Our next question comes from Matthew Breese at Sterne Agee.
Matthew Breese – Sterne Agee & Leach Inc.: Good morning guys.
Frederick C. Peters: Matt good morning.
Matthew Breese – Sterne Agee & Leach Inc.: Hey going back to the wealth management question, how much do the seasonal tax items contribute this quarter?
James Duncan Smith: About 400,000.
Matthew Breese – Sterne Agee & Leach Inc.: Okay, and then would you guys care to comment on new commercial real estate loans and the rates you’re seeing versus year end and how that all kind of relates to the yield curve steepening with a five year treasury up, down around 65 basis points. Has all that steepening been passed on to the new loans?
James Duncan Smith: Well I don’t want to get into exact rates that we’re quoting out in the market, because we are usually going up against a lot of different banks, but you know in general we tend to try to price off the FHLB rates, because they follow the swap curve a little closely. And we are definitely pricing up, so I just don’t want to get into the level of where we’re at just because we’re in a very competitive marketplace.
Matthew Breese – Sterne Agee & Leach Inc.: And Joe, maybe a comment as the trends I mean for a while there every I thought we were trending down now so…
Joseph G. Keefer: Yes, I mean I think it is on the long part of the curve going up as it probably stops some of the crazy stuff we’ve seen and we are seeing some banks too, there are larger banks even though I’m sure they’re blaming on us, but we’ve seen some of the larger banks coming out with deals that were just really thinly priced. And we think the curve going up is not going to certainly slow, slow back down. We of course not would love to see the short-term fill up as well, we’re still asset sensitive at the bank 25% of our deposits are non-interest bearing. So rising rate environment is really going to help us, but there is still pressure, lot of competition out there for loans and so I think the long end of the curve going up is helping us a little bit on the pricing.
Matthew Breese – Sterne Agee & Leach Inc.: Okay, and then I’m sorry if I missed your commentary related to loan growth before, but what kind of demand are you seeing in your market, the recent beige book had the – Philadelphia is quite a bit stronger than the north east region Boston and New York, I’m just trying to get to more color there on the overall growth outlook.
Joseph G. Keefer: This is Joe Keefer again, and our organic growth has always been very, very strong in the last 12 months, I think when you look at it, you really got to pull out the pay offs and the HELOCs in residential mortgage loans, because those were loans that we kind of be stuff on and nine on 10 when loan growth was difficult. So over the last year we had $43 million of that pay off, so if you account for that our business banking loans are growing into the 10% to 12% to 13% range some quarters, and I expect that to continue. If I look at the pipeline report and I look at June of 2013 compared to June of 2012 and our fundings were up about 30% and actually 40% and more importantly is deals that have been accepted and we anticipate to close on the coming quarters that’s at a level that’s 200% over where it was a year ago. So I feel pretty good about it, I mean I think I’ve been saying every quarter, understanding the headwinds with getting some payments on a residential mortgages that we should come in total loan growth for the year between 6% to 8% and now that I’ve seen what’s happening so far, I hope to be maybe at the higher end of that range, perhaps in any extraordinary pay offs.
Matthew Breese – Sterne Agee & Leach Inc.: Okay, that’s all I had. Thank you, guys.
Frederick C. Peters: Thanks Matt.
Operator: (Operator Instructions) At this time, I show no further questions and I would like to turn the conference back to Fred Peters for any closing remarks.
Frederick C. Peters II: Thank you Amy and thank you everybody who has tuned in today and what I would like to tell is we’re here, we’re working hard, we understand the – some of your things out there which we have to overcome, but we’re working hard to hold the margin and to increase wealth revenue and hold our non-interest income in the mortgage area, control expenses all the things, I think a lot of other banks are doing as well. So I appreciate your interest and look forward to talking to you formally I guess in three months and informally between that period. Thank you.
Operator: This conference is now concluded, thank you for attending today’s presentation, you many now disconnect.